Operator: Ladies and gentlemen, thank you for standing by for Cigna’s fourth quarter 2007 results review. At this time all callers are in a listen only mode. We will conduct a question and answer session later during the conference and review procedures on how to enter queue to ask questions at that time. If you should require assistance during the call, please press star and zero on your touchtone phones. As a reminder ladies and gentlemen, this conference, including the Q&A session is being recorded. We’ll begin by turning the conference over to Mr. Ted Detrick, please go ahead Mr. Detrick.
Ted Detrick: Good morning everyone and thank you for joining today’s call. I am Ted Detrick, Vice President of Investor Relations and with me this morning are Ed Hanway, Cigna’s Chairman and CEO, Mike Bell, Cigna’s Chief Financial Officer, David Cordani, President of Cigna Healthcare and Jon Rubin of Cigna Healthcare. In our remarks today Ed Hanway will begin by discussing highlights of Cigna’s 2007 results. He will also make some comments regarding our growth prospects for 2008. Mike Bell will then review the financial details from 2007 and provide the financial outlook for 2008. David Cordani will discuss our medical membership results and outlook and he will also make comments regarding the evolving healthcare marketplace and the growth opportunities that it presents for Cigna healthcare. Ed will then conclude our prepared remarks by [present] commenting on how we expect to leverage Cigna’s strong competitive market position in each of our health services businesses to continue to create value for the benefit of both our customers and our shareholders. We will then open the lines for your questions. Now as noted in our earnings release, Cigna uses certain financial measures which are not determined in accordance with generally accepted accounting principles or GAAP when describing its financial results. Specifically, we use the term labeled adjusted income from operations which is income from continuing operations before realized investment results and special items, the special items being unusual gains or charges, as the principle measure of performance for Cigna and our operating segments. And a reconciliation of adjusted income from operations to income from continuing operations which is the most directly comparable GAAP measure, is contained in today’s earnings release which was filed this morning on form 8K with the Securities and Exchange Commission and is posted in the investor relations section of cigna.com. Now in our remarks today, we will be making forward looking comments, we would remind you that there are risk factors that could cause actual results to differ materially from our current expectations and those risk factors are discussed in today’s earnings release. Now before I turn the call over to Ed, I will cover one item pertaining to our financial reporting and disclosures for 2008. Regarding our disclosures, I note that in 2006, the financial accounting standards board issued statement number 157 entitled, fair value measurements, which clarifies the measurement of and expands disclosures regarding the fair valuing of certain assets and liabilities. Statement 157 is effective January 1, 2008 and will affect results for our guaranteed minimum income benefits business, otherwise known as GMIB, which we report in our runoff reinsurance segment. This pronouncement will require Cigna to fair value its GMIB assets and liabilities based on exit values, using current risk free interest rate volatility and other market assumptions. Now historically we have used longer term averages for our market assumptions. We believe that using an exit value approach to fair value the assets and liabilities of this business is a methodology that does not reflect the underlying economics of the GMIB business. In addition, implementation of statement 157 will have no impact on our subsidiary capital levels where the amount of free cash that we can dividend to the parent. Therefore, beginning with our first quarter 2008 statistical supplement, we will break out our GMIB results and exclude them from our definition of income from operations when discussing our results and outlook, which is similar to our current practice for both realized investment results and special items. Now if a significant change has occurred to what we consider to be the underlying economics of the GMIB business, we will communicate this to you. We currently expect that the initial implementation of statement 157 as of January 1, 2008 will result in an after tax charge in the range of $125 million to [audio interrupt]. In addition, because future changes in the exit value of these assets and liabilities will be recorded in net income, Cigna’s future results for the GMIB business will become more volatile. Now to illustrate this point, as of January 31, interest rates have declined and the S&P 500 was down approximately 6% relative to year end 2007. If we were to report results as of January 31, Cigna would expect to record an after tax loss of approximately $50 million for its GMIB business. Again, it is worth noting that we do not expect the GMIB loss that we will be reporting first quarter to impact our ability to meet our 2008 subsidiary dividend estimates and Mike Bell will provide a capital management update in a few moments. To reiterate, Cigna’s earnings outlook for 2008 which Mike Bell will discuss in a few minutes, excludes the results of the GMIB business and therefore any potential volatility related to the adoption of statement 157. And with that, I’ll turn it over to Ed.
Edward Hanway: Thanks Ted and good morning everyone. I’m going to start today’s call with a few brief comments on our full year 2007 results and I’m then going to provide my perspective on our prospect for 2008. Mike will then review the 2007 results and he’ll provide the specifics of our 2008 outlook. And after that, David is going to comment on our medical membership results and review the 2008 membership outlook. He’s also going to discuss how our consumer engagement capabilities, including our industry leading clinical resources and integrated offerings are helping us to achieve success in the marketplace. Each capabilities are positioning us well to achieve our long term goal of becoming the leading health services company. And my closing remarks I will briefly comment on why we believe we are well positioned to achieve our near term as well as our longer term enterprise objectives. Full year 2007 adjusted income from operations was $1.14 billion or $3.96 a share and that represented 26% earnings per share growth relative to 2006. In 2007, we successfully executed on several key healthcare objectives. First we grew our aggregate medical membership by 8%, inclusive of members acquired through the Sagamore acquisition. This includes organic membership growth of approximately 5% which was a very strong competitive result. Within this total we grew our experienced rated membership by 5% since the first quarter of 2007 and we expect to continue this momentum in experience rated into 2008. Second and very importantly, we maintained our pricing discipline and successfully executed our guaranteed cost pricing strategy. We’ll improve the profitability of our commercial risk book. Lastly, we grew our specialty programs which are key to our value proposition. These programs create economic value in two ways, by increasing profit margins and by improving persistency. Now in November of 2007 as you know, we signed a definitive agreement to purchase Great West healthcare business. We’re excited about this acquisition as it meets all of our acquisition criteria. This acquisition provides us with several near term benefits as well as longer term growth opportunities. By strengthening our middle market presence and by accelerating our growth in the small group segment. Our group disability and life and international businesses delivered another year of strong results with competitively strong top line growth as well as profit margins. Our group disability and life business reported full year earnings of $248 million with premiums and fees growing year over year at an attractive rate of 13%. We are growing in group based on our solid product and service capabilities as well as our ability to provide value through integrated disability management. We have industry leading claims management and return to work outcomes in disability. This line of business generated strong premiums and fee growth of 18% in 2007. Our international business reported full year earnings of $174 million. That represents earnings growth of 26% relative to 2006 and this strong result was driven by 17% revenue growth and continued strong margins. Over 80% of international earnings are healthcare related and we continue to see growth in our life accident and health businesses, particularly in Asia, as the middle class in this region continues to expand and seek cost effective protection for their health and financial security. Overall, both our group and international operations have strong market position with good growth opportunities. But to reiterate, our full year 2007 consolidated results were strong and resulted in very attractive growth in earnings per share. Now regarding our 2008 outlook, we expect medical membership to grow organically in 2008 by 2-5%. We are targeting a date of April 1 to close the Great West healthcare acquisition which will add new product capability and further grow our medical membership in key geographies. We expect healthcare earnings to grow in a range of 9-15% versus 2007, excluding Great West, as we continue to leverage the strong competitive position we have built in the marketplace. We also expect continued good earnings and revenue growth in both our group and international businesses. In total, we have raised our full year 2008 earnings per share estimate to be in a range of $4.05-$4.25 and that’s based on a stronger outlook for our group and international businesses. Overall, we are pleased with our 2007 accomplishments and consolidated results and we also believe we are well positioned to leverage this success to achieve our 2008 earnings growth and membership goals. Now Mike’s going to cover the specifics of the 2007 results and he’s also going to review our 2008 outlook. Mike.
Michael Bell: Thanks Ed, good morning everyone. In my remarks today I’ll review Cigna’s 2007 results, I’ll also discuss our outlook for full year 2008. In my review of 2007 consolidated and segment results, I’ll comment on adjusted income from operations and this was income from continuing operations, excluding realized investment results and special items. Our full year 2007 consolidated earnings were $1.14 billion or $3.96 a share, compared to $1.06 billion or $3.15 a share in 2006. This result reflected higher earnings in each of our ongoing businesses and in our other operations. Our full year EPS of $3.96 was at the upper end of our expected range in November of $3.80-$4.00 per share. I’ll now review each of the segment results beginning with healthcare. Excluding prior year claim development, full year 2007 healthcare earnings were $671 million which was 9% higher than 2006. Our earnings growth primarily reflected effective execution of our guaranteed cost pricing actions and revenue increases due to aggregate membership growth and increased specialty penetration. As expected, earnings in our experience rated book were lower than our full year 2006 result. We completed the year with a strong medical cost result. Full year medical cost trend for our total book of business was 6.9%. Now relative to our expectations for the fourth quarter, healthcare earnings were in the lower end of the range that we gave in November. This mainly reflected the fourth quarter $10 million after tax impact of higher than expected medical costs in our experienced rated book. The quarter’s result also included an after tax charge of $4 million related to the CMS disease management pilot which we’ve now exited. Now in addition there were some other various puts and takes in the quarter, including some favorable tax items. For full year 2007, healthcare membership was 8% higher than at year end 2006 and that includes 4.7% organic growth. This result included the impact of higher than expected accountable disenrollment in the fourth quarter. Also in the fourth quarter, experienced rated membership grew sequentially while guaranteed cost membership declined. And the latter reflects our focus on maintaining pricing discipline in an environment which continues to be very competitive. Our full year guaranteed cost MLR was 84.2% excluding favorable prior year claim development and excluding our voluntary business. This result was 160 basis points better than the comparable 2006 MLR, reflecting strong execution of our guaranteed cost renewal pricing actions. Healthcare premiums and fees for the year increased 9% versus 2006, driven by medical membership growth, rate increases, increased specialty penetration and growth in Medicare part B. Relative to our operating expenses, our results for the full year reflected productivity improvements, partially offset by investments in our growth initiatives. So overall, excluding prior year claim development, our full year healthcare earnings were 9% higher than in 2006. Now I’ll discuss the results in our other segments. Full year 2007 earnings in the disability and life segment were $248 million. These results continued to reflect our competitively strong disability margins, favorable life and accident results and effective operating expense management. In our international segment, full year 2007 earnings were $174 million, a 26% year over year increase. Earnings reflected competitively strong margins and growth in our life accident and health and ex-patriot benefits businesses. Easy for me to say. Group and international continued to be important contributors to our consolidated results. Earnings in our remaining operations including runoff reinsurance, other operations and corporate were $42 million for the year. Runoff reinsurance specifically earned $45 million and consistent with my comments from November, this result reflected favorable items which we do not expect to recur. Now before discussing our 2008 outlook, I’ll comment briefly on our investment portfolio. Our investment management strategy is to maintain a high quality well diversified portfolio. Now we are really proud of our investment management results and our strong team of investment professionals is highly experienced. Our continued emphasis is in private placements and commercial mortgages where we have consistently added attractive value and diversification relative to public bond funds. As a result, our investment portfolio is well diversified and our performance has been competitively very strong. Our investment assets totaled approximately $16 billion at year end 2007 and are invested primarily in bonds and commercial mortgage loans. We currently have no direct exposure to subprime loans and de minimis direct exposure to residential mortgages. As of yearend 2007, our investments in commercial mortgages were approximately $3.3 billion or 20% of our overall investment portfolio. These mortgages were carefully underwritten, we’ve consistently applied a very disciplined approach. Our current mortgage portfolio results are strong. All of our loans are fully performing and said differently, none of our loans is currently 30 days delinquent. For the total commercial mortgage portfolio, the loan to value ratio is approximately 62% and this means that our loans are well collateralized and that our borrowers have significant equity at stake in front of our mortgages. Now I’ll discuss the 2008 outlook. As Ted indicated, starting in first quarter 2008, we will exclude results on the runoff reinsurance GMIB business from adjusted income from operations since we do not believe FAS 157 accounting reflects the underlying economics. The estimates I provide will be on this basis and will also exclude any impacts from the Great West acquisition. For full year 2008, we currently expect full year consolidated adjusted income from operations to be in a range of $1.165 billion to $1.225 billion. This range is higher than our November estimates, mainly reflecting a more favorable outlook for our group and international businesses. Now I’ll discuss the components of our outlooks, starting with healthcare. We expect our medical membership to increase by approximately 2% in the first quarter and 2-5% for the full year 2008 and we view this as a strong competitive result. This range is somewhat wider than estimates we’ve provided in the past, reflecting uncertainties about the weakness in the economy and the guaranteed cost competitive pricing environment. We expect virtually all of the first quarter member growth to be in ASO and we currently expect guaranteed cost membership to decline in 2008 as a result of our maintaining pricing and underwriting discipline in a competitive market. Now we do expect to organically grow our experienced rated book in first quarter and throughout the year. We currently expect medical cost trend for our total book of business to be in the range of 6.5-7.5% in 2008. We expect guaranteed cost pricing yields to exceed trend and we estimate that the full year guaranteed cost MLR, excluding the voluntary business will be approximately 83%. Our estimate for full year 2008 healthcare earnings is in a range of $740-$780 million and this range is unchanged from our November estimates and equates to expected year over year earnings growth of 9-15%. Our expected earnings growth in 2008 reflects several key factors. First, we expect that revenue growth in our service business, including the impact of increased membership and higher penetration of our specialty products will deliver approximately $30-$60 million of additional after tax earnings. Second, we expect guaranteed cost pricing actions in excess of medical trend to include the MLR by approximately 120 basis points versus 2007. The impact of the improved MLR will be tempered by our projected decrease in guaranteed cost membership. We expect a net impact to be in the range of $25-$30 million of increase in the after tax earnings. Third, we expect experience rated earnings to increase by approximately $30-$35 million after tax reflecting revenue growth and modestly higher margins relative to 2007. Fourth, we expect to make significant investments in our segment expansion initiatives in the individual small group and seniors markets. While diluted in 2008 by approximately $50 million after tax, we expect these initiatives to be accretive to earnings starting in 2009. So in total we expect 2008 healthcare earnings to be in a range of $740-$780 million. Now regarding earnings progression during 2008, we expect to see a significantly increasing pattern of earnings throughout the year as we execute our pricing actions and continue to grow our specialty businesses. We expect Medicare part B results to be a loss in the first quarter of 2008 followed by positive earnings later in the year and this is consistent with the pattern in 2007. Now let’s turn to the balance of our segments. We expect our remaining operations to contribute approximately $425-$445 billion of earnings in 2008. We expect our group disability and life and international businesses to continue to grow revenue while maintaining strong margins. Specifically, we expect mid single digit earnings growth in group and double digit earnings growth in international. Earnings for the balance of our operations which include runoff businesses in the parent company are expected to be lower year over year, mainly due to the absence of the 2007 non recurring favorability and runoff reinsurance. As a reminder, our 2008 outlook excluded results from the GMIB book. Now relative to our consolidated outlook, as is customary, our estimates for earnings and EPS assume no repurchase during 2008 and on this basis, we estimate that our full year 2008 consolidated adjusted income from operations will be in a range of $1.165 to $1.225 billion and EPS in a range of $4.05-$4.25. And our 2008 EPS estimates represent compound annual growth of 13-16% relative to 2006. In the balance of my remarks, I’ll provide updates on our pending acquisition of Great West healthcare business and our capital management outlook. With respect to Great West, we’re targeting a closing date of April 1 and our expectations for the transaction will remain in line with our discussion in late November. Of course we’re subject to changes as we complete integration planning and resolve the actual timing of the transaction close. In 2008, we continue to expect the transaction to be accretive relative to the full year EPS outlook of $4.05-$4.25 that I just discussed. We continue to expect the transaction to be further accretive in 2009 and to be significantly accretive in 2010 and beyond. Overall, we feel very good about this acquisition and expect to obtain business with strong strategic value on sound economic terms. I’ll now comment on our capital management outlook. Our parent company capital position continues to be strong and our subsidiaries remain well capitalized. I would note that we do not expect any change in our capital management outlook as a result of implementing the new account pronouncement for GMIB. There is no change to our expectations for 2008 subsidiary dividends or parent company free cash. Our capital management priorities remain consistent with our prior communications. We intend to continue effectively deploying capital for the benefit of our shareholders and our first priority continues to be maintaining appropriate liquidity at the parent company and insuring their subsidiaries remain adequately capitalized to support growth and to maintain their credit ratings. In 2008, we will be focusing on financing the Great West acquisition and restoring parent company cash to our long term target of $250 million by the end of the year. Consistent with our previous discussions, the acquisition will require $1.5 billion in cash and $400 million of additional subsidiary surplus. We expect to finance the $1.5 billion of cash by using approximately $1 billion of cash at the parent and by issuing approximately $500 million of debt. We ended 2007 with cash and short term investments at the parent of approximately $885 million. Before taking into account the acquisition, we expect to generate full year 2008 subsidiary dividends of approximately $900 million. This estimate reflects our expected 2008 consolidated earnings as well as the retention of needed capital in the subsidiaries to support their growth. Since we intend to retain approximately $400 million of surplus in the subsidiaries to support the Great West acquisition, we expect net subsidiary dividends for the full year 2008 to be approximately $500 million. At this point, excluding any additional M&A activity or any share repurchase, we expect other sources and uses of current company cash to be essentially offsetting, that is to net to zero. Now consistent with these estimates, we expect to have the capacity to resume share repurchase or consider additional acquisitions during the fourth quarter of 2008. So to recap, our 2008 EPS estimate, assuming no further repurchase and excluding the impact of the Great West acquisition, is a range of $4.05-$4.25 and our outlook for 2008 reflects attractive earnings growth in healthcare and continued strong performance in our group and international businesses. And with that, I’ll turn it over to David.
David Cordani: Thanks Mike and good morning everyone. 2007 marked an important and successful year for Cigna healthcare. We’ve generated both strong earnings and organic membership growth and delivered another year of industry leading clinical quality results. This was achieved with ongoing investments in our consumers and capabilities and segment expansion. In a very competitive marketplace, we grew our share of the market in 2007. Additionally our pending acquisition of Great West will provide us with attractive set of capabilities which will further our profitable growth. Today I’m going to share with you our 2007 membership results, our 2008 outlook on membership growth and medical cost trends and progress against our healthcare strategy, including an update on the Great West acquisition. My comments on our membership and medical cost trend outlook will exclude the impact of the Great West acquisition. Starting with membership, we led the market in 2007 with approximately 5% organic growth. Increasing competitiveness in the marketplace coupled with intensive economic pressure for corporations make profitable organic growth challenging in our industry. Our response has been keep hitting hard with our value proposition, which is built on integrated health advocacy programs that we deliver through our consultative sales team. We have demonstrated and will remain committed to disciplined pricing execution. In January, 2008, our renewals reflected strong persistency in the national and regional segments. We expect to have approximately 2% membership growth for the first quarter and 2-5% membership growth for the full year. In the fourth quarter, we began to see the impact of the economic slowdown through higher existing case disenrollment and lower enrollment in new sales. We have widened our outlook for 2008 to reflect the potential impact of ongoing economic slowdown and increased competitiveness of the guaranteed cost pricing environment. For 2008, approximately 70% of our full year growth is expected to be ASO, the remainder primarily in experienced rated and voluntary. We expect guaranteed cost membership to decline 2-4% for the full year with a loss of 5-7% for the first quarter. On the other hand, we did see good growth in experienced rated for the fourth quarter and expect to have solid growth for the full year. In 2007, our consumer driven health plan membership more than doubled to 580,000 members. The market sees differentiated value from Cigna as we seek to deliver minimal cost shifting from our CDHP programs. Rather, we deliver significant trend deflection by leveraging our health advocacy programs to improve health and thereby lower costs. For 2008, our CDHP membership is expected to increase to approximately 850,000 members. Turning to medical costs, as you know, competitive medical costs are a key foundational element of our strategy. Our total medical cost trend in 2007 was approximately 7%. This is a strong competitive result. This competitive medical cost result coupled with our industry leading clinical quality provides us with a strong foundation for our products and services. These are increasingly recognized in the marketplace. In 2008 we expect medical costs to be in the range of 6.5-7.5%. In addition to competitive medical costs, our continued growth is driven by our consultative sales approach, our superior health advocacy program and effective integration of our broad portfolio solutions. Our consultative sales process means deepening our knowledge of existing and prospective customers by learning their business strategy and the health status of their employees. With that knowledge we build our recommendations and solutions. We’ve learned from customers in both the national and regional segment that we win when the customer is focused on total cost, when we offer integrated medical and specialty solutions and when we demonstrate the ability for ongoing partnership to deliver creative solutions. I’ll now turn to my final topic, progress on our multiyear growth strategy. As we have discussed in the past, our strategy has three elements. First, foundation, providing consistent reliable service at a competitive cost. The second is differentiation, our approaches to develop superior knowledge of the individuals we serve, use that knowledge to drive active participation of the individual in their health and then use that active participation to realize improvements in their health. And the third component is market expansion, here we continue to take share in the national and regional segments while we seek to expand our strike zone into voluntary individual, small employer and the seniors market. Today I’ll expand briefly on the second and third components, differentiation and market expansion, including the Great West acquisition. Relative to differentiation, we seek to truly engage individuals to actively participate in improving their health. This is a significant opportunity and one that should not be underestimated. Behavioral and lifestyle changes aren’t easy for anyone. We have leading case management, health coaching and behavioral health solutions with dedicated coaches and clinicians who make a different in people’s lives each and every day. From our point of view, healthy people are more productive people, more productive people have a better quality of life and a better quality of life lowers total cost for the employer and their employees. Expanding the delivery of these services is critical to insure we can effectively reach and engage our members in the way that works best for them. This is important for those who are chronic and acute as well as for those who are healthy and healthy at risk. This is where online coaching capability that we secured through our V life acquisition comes into play. It expands our delivery capability to the web and provides real time link to effective and proven health coaching. Another innovative way to deliver convenient health engagement is through online messenging. In December we announced with Relay Health that we are taking our four state pilot to a national level, provide greater access to secure online messenging between our members and their doctors. This enables a concept known as virtual house calls. These are just two exciting examples of recent innovations by Cigna healthcare to effectively engage the individuals we serve. Now I’ll turn to market expansion where my comments will focus on small group. Currently, we define small group as employers with under 200 employees. The total market here is approximately 55 million people, fully one-third of the entire employer sponsored segment. This segment is highly fragmented and since we are currently under representing in this segment, it represents a significant growth opportunity for Cigna. Our pending acquisition of Great West Healthcare will be a tremendous accelerant for a small segment strategy while also further strengthening our regional segment. Great West is highly complementary to our business. There are three main reasons we are excited about this purchase and see it as a meaningful part of our growth strategy. First, it strengthens our geographies for the national and regional segments. Second, it accelerates our small segment growth strategy. And third, it adds thousands of additional relationships for Cigna to have the opportunity to cross sell for additional programs and services. The acquisition will add approximately 1.5 million medical members in the employers segment and an additional 660,000 [cupped lives] through TPA arrangements. As I said previously, we expect to create significant financial value from four key economic levers. First, by combining the capabilities of our two organizations, including our strong total medical cost division, we expect to stabilize and resume growth in Great West membership. Second, we expect the strong total medical cost position will improve margins on the acquired book. Third, our measured approach to integration will achieve operating expense synergies over time. And fourth, we will have the opportunity to cross sell our specialty products and other offerings from our portfolio to Great West’s current book of business. Together this will provide more expansive choice for employers, enable superior clinical outcomes for members, provide consistent quality service and enable better management of overall medical cost. Now over the past couple months I’ve personally had the opportunity to meet with hundreds of Great West employees in a number of cities around the country. I continue to be impressed with the strength and passion of their people. They have built very strong market receptivity to their differentiated products in large part due to their outstanding service proposition for producers, with their provider partners, employers and for their members. We’re looking forward to successfully completing the regulatory process and becoming one team that’s committed to winning. I’ll now move to wrap up my comments. Being the leading health service company means being the best at listening to, understanding and helping individuals improve their health. Simply put, success means that people are healthiest when they are supported by Cigna. That is our objective. The definition of health must be viewed in the broadest sense, which means much more than the absence of sickness. For some people it extends to well being and security. It can mean decreasing stress. It means increasing activity. It means the information people need most is easy to obtain and is helpful to them. We know that this focus improves productivity and quality of life and lowers costs for the employer, member and the system as a whole. Focusing on keeping people healthy is a very different ballgame than merely paying claims when people are sick. It’s the right thing to do in a societal sense and it’s the right thing to do from a business perspective. It creates a sustainable business benefit for our customers and our shareholders. A business benefit that has the power to move healthcare from a global competitive disadvantage to a competitive advantage. As a health service company, we don’t see a mature insurance market. We see a promising growth market, one where we have the momentum and are leading the charge to improve the health of the individuals we serve. I am personally looking forward to continuing the momentum we’ve built in 2007 into 2008 and beyond. We are positioned well to achieve membership and earnings growth that will be attractive by any standards. And with that, I’ll turn it back to Ed for some closing remarks. Ed.
Edward Hanway: Thanks David, now before we take your questions I wanted to underscore several points. First, our consolidated results for full year 2007 were strong and they reflect solid growth in healthcare earnings as well as significant contribution from our disability and life and international businesses. Second, our strong 2007 organic medical membership growth validates that our value proposition and capabilities related to the broad based consumer engagement are resonating well in the marketplace. Third, in 2008, we will be making significant investments in targeted market expansion which we believe will lead to good growth opportunities and will help us to achieve our long term mission of being the leading health services company. Finally, we are excited about the pending acquisition of the Great West healthcare business. Great West’s product and distribution capabilities will accelerate our growth, particularly in the small group segment. Now as I’ve spent time with many of the Great West people, I have been very impressed with their commitment to effective execution of the fundamentals of our business. And that’s a commitment that we at Cigna clearly share. We are focused on completing an integration that truly leverages the strength of both Great West and Cigna for the benefit of our customers. And I’m confident this transaction will create meaningful value for our employees, our customers and our provider partners and our shareholders. Relative to 2008, we are very well positioned to achieve our earnings and membership targets. Specifically, for our healthcare business we expect to leverage our strengthened competitive position and grow earnings in a range of 9-15% in 2008. We are confident we can continue to win given our differentiated capabilities including our consultative sales approach, our competitively superior clinical capabilities and our breadth of integrated solutions. Our value proposition in both disability and life and the international operation will enable us to profitably grow these businesses while at the same time maintaining their competitively superior margin. In summary, our prospects are attractive to grow our broad array of businesses on a sustained basis. Overall we believe the investments we are making in market facing capability, including our segment expansions in 2008 will position us to achieve our long term objective of growing earnings per share on a compounded annual basis of 12-15%. In closing, our consolidated 2007 results were strong and reflected competitively superior organic growth in each of our ongoing businesses. We expect to build on this momentum in 2008 and beyond. I’m confident that Cigna had solid market positions in each of our ongoing businesses and that we will leverage these positions to continue to create value to the benefit of our customers and shareholders. And that concludes our prepared remarks and we would now be glad to take your questions.
Operator: Ladies and gentlemen at this time if you do have a question please press star and one on your touchtone phones. If someone asks your question ahead of you, you can remove yourself from the queue by pressing star and two. Also, if you are using a speakerphone, please pick up your handset before pressing the buttons. Finally, we ask that you please limit yourself to one question and one follow up. However, you may place yourself back in the queue should you have another question. One moment please for our first question. We’ll go to Matthew Borsch at Goldman Sachs.
Matthew Borsch – Goldman Sachs: Good morning, I’m wondering if we could, just my first question, start on some granularity on the pricing environment and I’m just thinking that I believe last quarter you talked to seeing some pricing pressure on the fee based business and now I hear you focused a little bit more on the pressures on the guaranteed cost segment. Is there any sense you can give us for what markets, what segments you’re seeing that in, whether it’s coming generally more from the larger public companies or the not for profit companies and perhaps how its changed relative to a year or two ago, thanks.
David Cordani: Matthew, good morning, it’s David, I’ll start and I’ll ask Mike to pile on. I think based on your comment you said you know the prior dialogue we highlighted the fee based environment. I think if you look back over the last year plus we’ve continued to identify the fact that the market environment in general has been competitive. Guaranteed cost as well as the fee based environment and we continue to see that somewhat accelerating. The specifics of your question, are we seeing it in any specific geographies, competitors, et cetera. I would not point toward any discrete geography or sub-segmeng in the marketplace. By way of a few trends, a few trends that we continue to see are the broader coverages, like experienced rate and ASO passing into smaller and smaller size segments. We believe that that’s putting some compression on the aggregate strike zone of the guaranteed cost environment. Two, we see more employers seeking what we look at as alternative funding solutions which we believe plays to our strength. As evidenced by that we saw growth in our experienced rated in the third quarter and fourth quarter of last year. First quarter this year and we expect to see that throughout the course of the year. We do see the pricing environment though as being competitive and as we’ve articulated in our prepared remarks, very competitive. I would not highlight that it’s either for profit or not for profit competitors as leading the charge. Mike.
Michael Bell: David those are great comments, I mean the only piece that I would add is that the guaranteed cost environment is particularly tough in that small group and lower end of the middle market. That’s where we’ve seen increased pressure and therefore as a result, increased pressure on our membership. David has it exactly right, the strength of the experienced rated result is one of the real bright lights for us over the last three quarters in terms of membership. We expect that to continue into 2008. That also reinforces our confidence in terms of the Great West acquisition because again you think about Great West’s sweet spot, it’s really bringing ASO and stop loss to exactly that segment of the market. So we think through differentiation we don’t have to be in there swinging head to head on a guaranteed cost basis.
Matthew Borsch – Goldman Sachs: That makes sense and just as a follow up question if I could ask, you’re doing well in growth and experienced rated but you did touch on somewhat higher than expected experienced rated trend in the fourth quarter and in that light, could you just update us on the outlook there and also I think you said at the investor day that 30% of the retrospectively rated experienced rated business was in deficit. Is that figure changed?
Michael Bell: Sure, let me just start with that last point first. At this point we ended the year with 32% of the book in deficit. So there’s some greater opportunity for deficit recovery in 2008 than where we were at the end of third quarter. But to step back and put some context around your question around experienced rated. To be clear, the full year 2007 results for experienced rated was in line with our original expectations in terms of earnings. And as we’ve discussed, the margins on this book are very strong, in fact stronger than what we see on the guaranteed cost as well as the ASO block. Now I would acknowledge your point is right that the fourth quarter underwriting margins were lower by $10 million after the tax than our fourth quarter forecast and essentially then offset the favorability we had seen in terms of margins for the first nine months of the year. But fundamentally the full year results are strong. The medical cost trends have been favorable. The premium yields were just north of 10% here in 2007. So we feel good about the job that we did in terms of underwriting and medical management. And then as we look forward to 2008, we expect that we will grow membership order magnitude 5% in that book and obviously that excludes the membership we’ll pick up on the Great West acquisition, but organically we expect to grow the experienced rated membership 5% for the full year 2008 and that’s in line with what we saw in the last three quarters of 07 and maybe most importantly, we’re well positioned at this point for additional earnings growth in 2008. And as I said in my prepared remarks, we expect experienced rated earnings will be up $30-$35 million after tax versus full year 2007 and that’s really a combination of expecting low double digit revenue growth in the experienced rated book as well as $5-$10 million of after tax margin expansion in 2008. So again we’re feeling very good about the outlook. As we’ve talked about before, we view this as a win win product, a win for our customers, a win for us and we’re well positioned to grow both top line as well as bottom line results in 2008.
David Cordani: Just a quick add on to Michael’s point, by way of your 30%, or 32%, you also recall from investor day that we said historically that if you look back at this book of business, when it’s run quite well, the accounts in deficit have been somewhere around 30% or so, so we view that as a healthy book of business and success is keeping it in that range and keeping the deficits for any individual case from being too significant. Such that ongoing medical management, ongoing pricing executing helps to deliver that. And as Mike said, we’re very excited about the 08 growth as well as 08 earnings contribution there.
Matthew Borsch – Goldman Sachs: Great, thank you.
Operator: Thank you Mr. Borsch, we’ll go next to Bill Georges at J.P. Morgan.
Bill Georges – J.P. Morgan: Thanks, good morning, a little bit additional follow up on the experienced rated book. Are there any other metrics that you can give us so that we can try to follow this business as it develops through the year, just in addition to this roughly 30% target for deficit? Just anything that would help us out to track the business and then a corollary question to that also is are you concerned about attrition in this book for accounts that are in deficit and would that have a negative impact on results?
Michael Bell: Bill it’s Mike, first in terms of additional metrics, again, I think you’ve focused appropriately on the number of accounts in surplus versus deficit and again we expect to improve the 32% modestly as David indicated that we really target the long term target of more like 30% for that book. I mean ideally a little lower, but just by virtue of the book that would be healthy. In terms of things like premium yields and medical cost trends, we do expect that the premium yields in 2008 will be at the high single digit level. Obviously we also focus on customer retention, you ask about customer retention results here for 2007. We ended up persistency for the full year of 83% on that block. We’re targeting a modest improvement in that for 2008. But historically when this book has been running on all cylinders it’s tended to run in those mid 80’s. And back to David’s comment from a couple minutes ago, the important thing is to keep the deficit at a relatively small size for any given account so that they’re not encouraged to walk away. And your question on would I expect that to have an impact, a negative impact on 2008? Remember the way we do the deficit accounting, we charge ourselves earnings in the current period for any deficit. So if a customer for example, incurred a deficit over the course of 2007, that’s already imbedded in our 2007 earnings. If they left us then in 2008, we’d forego any benefit of recapturing that into earnings but we’re not going to take another hit on that same account.
Edward Hanway: Bill, it’s Ed, I would just add one thing and Mike referenced this briefly. One of the most important things I think we focus on, on all of our books of business but particularly experienced rated as well is the management of medical cost. That’s key and I think Mike you may have commented in your prepared remarks that the medical trend that we actually saw in 2007 was even a bit lower than our overall aggregate for the book. So this is a book of business that is managed very, very well and where the impact of effective medical management can have a real positive influence on margin which it has had historically and continues to.
Bill Georges – J.P. Morgan: Okay, great, that’s very helpful. Just a quick follow up question, you know you mentioned sort of imbedding some conservativism in your membership outlook for 08 given weakness in the economy. Can you highlight geographies or industry segments where you’re particularly concerned or where you may already be seeing some weakness in membership?
David Cordani: Bill, good morning, it’s David, just I’ll hit it in the order you asked which is geographically and sectors. As you recall in the past, we indicated that as we look at the regions of the country, our growth in 06, 07, we saw good performance in all of our regions. As I looked at the tail end of 07 and into 08, that’s generally consistent, we have one region of the country with a little bit more muted growth. So specifically to regions, we continue to highlight to you that the Southeast region tends to be a particularly competitive environment and that would be the one region we continue to see as a little bit more challenging than others. As you look at industries, I’ll just give you a general comment and then a Cigna specific comment. You can look at all the press and see the impact on the financial services industry, transportation industry, housing industry, auto and related manufacturing support industry, et cetera, for any of our personal exposure there, we’re seeing a bit more accelerated pattern of either disenrollment, A, B, lower hiring rates than historical standards or lastly, somewhat lower yield on new sales we’re seeing in those respective industries. Overall as we look at our book of business though, we’re not significantly exposed to any one of those sectors, read financial service, read transportation et cetera, we’re pretty darned diversified. So our guidance and regarding the range somewhat into 2008 to the 2-5% is simply recognizing the softening of the economy and what we said with the guaranteed cost pricing environment continues to be very competitive and we’re going to hold our ground form a price discipline standpoint.
Bill Georges – J.P. Morgan: Okay, great, very helpful, thank you very much.
Operator: Thank you for your question Mr. Georges, we’ll go next to Scott Fidel with Deutsche Bank.
Scott Fidel – Deutsche Bank: Good morning. First question just on Great West and I know it’s early here but do you have an early sense on how they did in the 2008 selling season I guess relative to expectations. Then also, can you help quantify what your expectations are for accretion for Great West for 2008?
Michael Bell: Scott, it’s Mike, particularly given that Great West has not announced their fourth quarter results, I think it would be really inappropriate for us to try to say anything at this point in terms of 2007. I think the most important comment that I would make here is that there is no change in our outlook at this point for 2009 and 2010. So the incremental earnings that we talked about in November but for 2009, net of the financing costs and transition costs of $135-$175 million after tax and then the 2010 numbers are $200-$250 million after tax on the same basis. There’s no change in terms of our outlook for the components at this point. In terms of your specific question around near term accretion, you know 2008 has at this point the most number of moving parts. I mean precisely the time that we close the transaction, the exact pace of the integration, the transition arrangements. That is really a moving picture at this point and we’d expect to be in a position to communicate more post closing. So in all likelihood, in April.
Scott Fidel – Deutsche Bank: Okay and then relative to the nickel guidance raise to 08 EPS, you talked about it coming from the non healthcare business, can you maybe help us think about in terms of international verse group life and disability, how much of the increase comes from each of those areas?
Michael Bell: Sure, I would describe it as roughly 50/50 split between those two. Both of them had good quarters, you know group had unfortunately the one time hit because of the regulatory issue in New York in fourth quarter. But ex that out, group had a strong quarter. International has a strong quarter and the outlook for both of those businesses, based on what we saw in the early part of the quarter is stronger. So that’s really the driver.
Scott Fidel – Deutsche Bank: Okay and then could you just help us think about the lower broader interest rates and how you see that impacting the business I guess from a net perspective, maybe thinking first about investment income and then also about the offset with interest expense.
Michael Bell: Sure Scott, in terms of investment income, obviously we have built into our earnings estimates at this point for 2008 the current interest rate environment and I guess you could think about it in two pieces. First, for our long term businesses, so for the group disability business and the runoff businesses, we focus on an asset portfolio that’s very closely aligned, very closely duration matched with the tail of the liabilities. And therefore, we would expect to be reasonably immunized in terms of changes in interest rates because of that duration alignment. For the healthcare portfolio, the healthcare portfolio is obviously more of a short term portfolio and we have built in, in terms of the 2008 healthcare forecast the current interest environment and expect that to be similar to what our competitors are seeing.
Scott Fidel – Deutsche Bank: And on the interest expense side?
Michael Bell: Well on the interest expense side, we’re still sorting through exactly what we’re going to be doing in terms of the $500 million of debt that we’ll issue for Great West. Again, in the scheme of things I would expect that to be pretty much a rounding error. And if you modeled something like $500 million of debt at call it 6% pretax, 4% after tax, if you modeled it at a $20 million after tax annualized run rate, I think you’d be certainly right in the ballpark.
Scott Fidel – Deutsche Bank: Okay, thank you.
Operator: Thank you Mr. Fidel, we’ll go next to Christine Arnold with Morgan Stanley.
Christine Arnold – Morgan Stanley: Hey there, a couple questions, first did you have any intra year development in the quarter and if so where was it?
Michael Bell: Good morning Christine, it’s Mike, in terms of the intra year prior period development, we had some in the guaranteed cost block, it wasn’t a major amount, it was approximately $3 million after tax. It actually primarily relates to one particular catastrophic case. So as a result we saw sequential increase in the NCR from third quarter to fourth quarter ex the prior year development. And if you washed that out you would have seen a modest improvement quarter over quarter.
Christine Arnold – Morgan Stanley: Okay, so $3 million after taxes negative development intra year?
Michael Bell: Right.
Christine Arnold – Morgan Stanley: Okay and then I’m confused on experienced rated as usual. You’re saying that the experienced rated rates went up 10% in 07. The rates are going to go up for experienced rated high single digits which is less of a rate increase in 08, yet costs were over expected and you have more deficits which would imply that the pricing for those accounts in deficit should rise and the yield should rise. So what’s wrong with how I’m looking at this because it feels like the costs were higher than expected but the rates are going down.
Michael Bell: I guess you could think about it Christine in two different pieces. First, in 2007, just to be clear, for the full year 2007, medical cost for the experienced rated block were actually modestly better than we had expected in aggregate for the entire experienced rated block. Now what we did see was we saw an uptick in fourth quarter relative to what we had seen for the first nine months of the year. In addition, unfortunately, in the fourth quarter the uptick in the medical costs were disproportionately weighted to accounts that were in deficit rather than surplus. Now the good news side of the equation here is that means there’s additional opportunity for us for deficit recovery in 2008 that we hadn’t had before. Obviously we’re looking in fact we’re literally looking as we speak at each of the account actions for the latter part of 2008. But at this point we expect that with, call it a 9% kind of revenue growth that would be in excess of medical costs for the entire book of business and would allow us to both grow our top line revenue in this block by low double digit rates as well as expand the bottom line margins by picking up some additional deficit recovery.
Christine Arnold – Morgan Stanley: Okay so you’re saying that those that are in surplus are getting less surveyed increases and it’s offsetting those that are in deficit? Or is somebody in deficit leaving such that you’re not collecting?
Michael Bell: Not it’s definitely the former, not the latter. [Overlay] what it’ll be and we’ll report it out as we go throughout the year but in terms of what’s driving the components that we just talked about, it’s the accounts that are in surplus are getting a lower rate increase which is very appropriate.
Christine Arnold – Morgan Stanley: And do you have visibility into all these accounts in deficit because it’s the ones in deficit are the one that have the higher cost and then they went deeper into deficit and in a competitive pricing environment they might want to leave. How many, do you have visibility into whether they’ve renewed? Or do you know?
David Cordani: Christine, good morning, it’s David, as you recall the experienced rated book from a day to day sales and underwriting management is a case by case activity. So the macro answer to your question would be yes, there would be an understanding, point one. Two is, I would not want us to overemphasize the movement in the deficit cases. As Mike pointed out very clearly, the aggregate performance of the book for full year 2007 was very good and we expect performance for the book in 2008 to be very good. By way of retention rates for the book, we’ve historically been able to run the retention rates for experienced rated in the 86-88% range or so. That’s where we are, that’s where we would expect to be going forward. The final note that I would make is you might recall from the first quarter this year we indicated that we had some accounts that stayed within Cigna but moved from experienced rated to ASO. That’s a mix of counts, typically those accounts would be high surplus very attractive accounts where those employers want to move into ASO but they carry the full suite of our specialty programs with them. So broadly speaking, we see the cases, we see the specificity, they’re underwritten and managed that way and as Mike said the aggregate rate execution in medical cost trends continue to behave very well.
Christine Arnold – Morgan Stanley: Okay, thanks.
Operator: Thank you Ms. Arnold, we’ll go next to John Rex at Bear Stearns.
John Rex – Bear Stearns: Thanks, my question is on the investment portfolio again and you know appreciate the fact that you don’t give monthly guidance. But the fact that January was somewhat volatile, I’m wondering if you can at least sort of give us some broad characterization of what you saw again, in the broad, not just CMIB but kind beyond GMIB, what you saw in your investment portfolio and kind of what your assessment of the mark to market implications would have been through Jan 31 and sort of know what was going on in the market.
Michael Bell: Good morning John, it’s Mike. First, John, before digging into the 2008 outlook, let me step back, I want to give you a little bit more context on our investment management operation. I mean overall we feel really good about our investment management operation. The results continue to be strong on both an absolute and a competitive basis and as we talked about before the results are not an accident. This is an area where consciously now for many years we’ve been focused on private placements and commercial mortgages and these are areas where we really ad economic value through strong underwriting and by maintaining that tight underwriting discipline we have not sacrificed quality to chase yield, instead we focused on our core competencies and as a result it is not surprising to us that the commercial mortgage portfolio is performing so well and that currently there are no delinquencies. It does not surprise us, for full year 2007, for the entire portfolio, we had net realized capital gains for the full year. And so as we turn now to the 2008, we expect at this point that we will have net realized capital gains in the first quarter of 2008. And specifically there are a couple points I would make there. We did sell two joint venture real estate ventures at the beginning of January. We expect to generate $24 million of after tax capital gains from that. There’s been no material change in the overall portfolio over the first 30 days of the year, so at this point, we expect to be in a net positive realized capital gain position here in first quarter. And again the main point to make here is these results are not an accident, we’re pleased with the performance, we’re pleased with the approach that our team is taking and we’ve really done a good job sticking to our core competencies.
John Rex – Bear Stearns: And the mortgage book, I mean these are obviously, these are not things that trade so when you’re looking at those you’re mainly focused at delinquencies, is that a correct way to look at that?
Michael Bell: There are two pieces there that are important there John, certainly the delinquencies are important and the fact that we don’t have any current delinquencies [unintelligible]. The loan to value piece though is really important. Remember the overall loan to value ratio on the portfolio is 62%. So what that means is, the market value would really have to crater before we got to a position where the borrower has negative equity in their particular property. And at this point, literally, as we’ve reviewed the portfolio loan by loan, the highest loan to value as of yearend was literally 91%. So again we’ve got a lot of protection in front of us and we view that as a strong leading indicator as well.
John Rex – Bear Stearns: Okay great. And then just on Great West, can you tell us how many states you’ve already obtained approval in and you told us at one point how many states you needed approval in and the number’s escaping me at the moment.
David Cordani: Morning John, it’s David. We won’t specify the number of states, we’re dealing with somewhere around 13, 14 to 15 states. There’s different levels of intensity as we talked before as you probably know, some require public hearing, some do not. We are actively in that process, we’re pleased with how the process is going and as was noted in the prepared remarks, we’re seeking to manage this as aggressively as possible to a rapid closure for everybody’s benefit.
John Rex – Bear Stearns: And I guess the main reason I asked the question is, correct me if I’m wrong on this, but if say for instance instead of closing at the beginning of 2Q, the transaction closed at the beginning of 3Q and given the transaction costs your assuming for 08, doesn’t it actually flip to being slightly dilutive rather than being slightly accretive or can you manage that transaction cost element enough that that doesn’t occur?
Michael Bell: John, it’s Mike, you’ve accurately described the dynamics. I wouldn’t go so far as to say it would necessarily flip over but it becomes more challenging to make it accretive in 2008. And just to be clear, we did not do this deal for 2008. We did this because longer term this adds significant strategic value and strong economic value. So the most important comments here are the impact on 2009 and 2010. But you’re absolutely right, that’s one of the reasons that we really don’t want to try to give specificity around 2008 accretion, there’s a lot of moving parts here.
John Rex – Bear Stearns: Thank you.
Operator: Thank you Mr. Rex, Justin Lake with UBS, you have our next question.
Justin Lake – UBS: Thanks, just a couple quick follow ups on the experienced rated book, one, what percentage of that book renews on 1/1?
Michael Bell: Justin it’s Mike, let me just look that up for a second, I don’t have that completely memorized here. On 1/1 it’s 54%
Justin Lake – UBS: Okay and how does the rest of the year progress?
Michael Bell: See it’s reasonably spread over the remainder of the year. The other two big months for experienced rated are July and September, 9% each. You can think of the remaining membership as being spread reasonably pro rata over the course of the year.
Justin Lake – UBS: Got it, so for those 54% that renew 1/1, how does the renewal process work? Were you able to see the higher cost trend in time to put through a higher renewal rate on those deficit accounts or is that something you’ll have to wait till 1/1/09 to do?
Michael Bell: Justin it’s Mike, for the most part, we feel good about the pricing actions that we took on 1/1 and certainly that is reflected in the earnings estimates that I gave earlier. Now again, does that mean with the benefit of 50/50 hindsight we might have done even better than the estimates that I described, the answer to that is potentially yes. I still think in the scheme of things that’s rounding error because we feel good about the 1/1 rate actions.
David Cordani: Justin, it’s David, the one piece I would add to Mike’s point is Mike’s consistent highlighted piece, the profitability of that book on an all in basis is very attractive from our point of view and we’re cognizant of continued demand that you have profitability of that book for long term relationships. The employers are typically by experienced rated tend to have a lot longer staying duration that for example a guaranteed cost employer. So the underwriting and sales process looks to be total earnings of the relationship and all source gains as we call it and as we talked before they’re heavily penetrated with specialty and then look to the multi year earnings equation there and on an aggregate basis, especially looking into 2008, we’re coming off a strong year in carrying another step up in earnings as well as organic growth there.
Justin Lake – UBS: Great, that’s good color and the retention rates you mentioned are 83% versus 86-88 optimally.
David Cordani: Justin, it’s David, sorry if that’s what you heard. What I articulated is that historically the retention rates for this book in number weighted case retention is in the 86-88% range, that’s where it is, that’s where it has run, it’s running again at a healthy level.
Justin Lake – UBS: Oh, so they’re not running at 83% right now?
Michael Bell: Justin, it’s Mike, just to clarify, 83% was the 2007 result. David’s absolutely right, our outlook for 2008 is higher than that and that’s closer to our longer term target.
Justin Lake – UBS: Okay and what is the difference in earning from that book if the retention rate does stay down at 83% versus 86-88? Would that be, is that a material piece of that $30-$35 million improvement?
Michael Bell: No, that would not be a material change to the earnings outlook. I mean it would be reasonably proportional but I think as long as we hit the overall membership growth of 5%, as David indicated, we’ve got strong results in terms of specialty penetration there. It would take a seat change to materially miss that number.
Justin Lake – UBS: Okay and just two quick data points. One, as far as the, you mentioned the retention rates on the book, can you tell us the retention rate on just the deficit accounts and have those ended up 2007 and maybe compare them to previous. And then also, the average size of deficit, I got to think is something that is material. Can you tell us how that looks in 2007 versus previous? And I’m done, thanks.
Michael Bell: Justin, I don’t have those numbers handy. They’re knowable, I just didn’t bring that level of detail to the call. We can certainly follow up with you offline at some point on that topic.
Justin Lake – UBS: Great, thank you.
Operator: Mr. Lake, thank you. Next we’ll go to Doug Simpson with Merrill Lynch.
Doug Simpson – Merrill Lynch: Hey, good morning, I just have a couple questions on the GMIB book. Mike, can you just walk us through, connect the dots between the $50 million estimate you guys included which was helpful just understanding the market volatility impact. Just how did that tie to the $125-$150?
Michael Bell: Doug, it’s Mike. They are separate items. So just to be clear, as of 1/1/08, we are now required to use this new exit pricing standard to set the reserves for GMIB and we expect that to have an impact to the tune of $125-$150 million after tax that’s a charge literally flipping from 12/31/07 to 1/1/08 and picking up the new standard. Now again I cannot emphasize enough, we view this as a very conservative standard, it is not indicative in our view of the underlying economics. Again, an exit pricing standard for a product like this is really a hypothetical exercise, because if you think about it exit pricing, what is somebody else going to value this book at if they were going to buy it from us? So it’s a very hypothetical standard under the new FAS 157 requirements. And it’s not the basis on which determines how much capital we have to keep in CG Life, it’s not the driver, therefore of the CG Life dividends to the parent and over the long term we believe it’ll be very conservative. And we believe that the liability as it runs out will show that this onetime hit was very conservative and therefore we do expect that over the long term this will be a net positive to GAAP earnings after taking this onetime hit in first quarter of 08. So we just don’t think the economics followed the accounting. Now, in terms of your specific question on the $50 million, through the month of January, equity markets, as I’m sure you’re aware of, were under pressure and in addition interest rates declined. And under the new FAS 157 sensitivities, the combined impact is an additional $50 million after tax hit on a GAAP basis. Now I cannot emphasize enough, between the $50 million and the $125-$150, that has not changed our outlook in terms of subsidiary dividends from CG Life, that’s just not the driver of the capital that we provide for this business.
Doug Simpson – Merrill Lynch: Okay, I think you have about 45% of the GMIB equity exposure hedged. In the past you’ve said well we may look at raising that hedge. Is that something that we should expect you to do or do you just sort of let it ride as is at this point?
Michael Bell: Doug, first, to be clear, we have 55% protection on this book. It’s not actually a hedge. What we did is we went out and we got reinsurance back, this would have been in the late 90’s, we got reinsurance from two large [retros] to cover 55% of the exposure. So it’s a reinsurance arraignment as opposed to a hedge program. You know we have periodically reviewed whether it makes sense to try to implement a hedge program like we have with [Bad B], you know the [Bad B] hedge program continues to perform very well and as expected. There are pros and cons of trying to do something along those lines with GMIB. At this point I don’t foresee doing that in 2008. But it’s something I’m sure we’ll continue to look at.
Doug Simpson – Merrill Lynch: Okay and then can we assume that the GMIB book itself was profitable in 07?
Michael Bell: The GMIB book had losses in 2007 that were imbedded in the runoff reinsurance results that we talked about. So imbedded in the $45 million of after tax positive earnings for reinsurance in 2007, was a loss for GMIB and that just shows that we more than offset that obviously with gains on the runoff comp and accident blocks through good settlements and good reserve emergence. But again, we think particularly under the new FAS 157 standard the earnings that we’ll report on a GAAP basis in 2008 are not indicative of the economics, they’re not indicative of what we would expect the dividend from CG Life and while you’re obviously free to do what you’d like, we would suggest that you exclude them from how you analyze our earnings.
Doug Simpson – Merrill Lynch: Okay and then just one final, so if that business lost a little bit of money in 07, your 08 guidance you went up by a nickel and now excludes the GMI business. Is that what kind of drove that nickel uptick?
Michael Bell: No it’s not Doug. As I had said back in November, we’ve been modeling reinsurance to be break even in 2008. We do not expect that to change. The nickel uptick in our EPS estimates stems from a stronger outlook for our group disability and life and international businesses. Roughly 50/50 between the two.
Doug Simpson – Merrill Lynch: Okay, thanks, that’s helpful.
Operator: Thank you Mr. Simpson, our next question will come from Greg Nersessian at Credit Suisse.
Greg Nersessian – Credit Suisse: Hey, good morning. First question was just on the disability and life segment. The revenues were down sequentially in the quarter. It wasn’t a lot, but just we hadn’t seen that in a couple of years. Was there a onetime item in the third quarter that you booked or I guess what was the driver of that?
Michael Bell: Greg, I don’t have the detail on the group book with me. It was not a material drop and the good news is we feel good about the revenues here for both 1/1/08 as well as for the full year.
Edward Hanway: Actually, specifically within the disability block, the disability revenue for the full year was up strong double digits which is a very good sign for us. So on a full year basis we’re very pleased and expect to continue to see good growth in that business in 2008.
Greg Nersessian – Credit Suisse: Okay that’s helpful and then in terms of the components of the operating expenses that you provide in the stat supplement, is there any material changes to sort of the run rates that we’re at coming out of the fourth quarter that you’re expecting for 2008 in terms of disease management or the part D or just the total other operating expenses?
Michael Bell: Greg, it’s Mike, no at this point we expect some modest growth in each of those areas for 2008 as we’ve been growing each of those specific segments of our business. The one exception is we do expect a modest decline in the transformation amortization expenses which we view as a good thing. So overall no material change in the operating expense outlook for 2008.
Greg Nersessian – Credit Suisse: So the other operating expenses was up 2% this year. Would you expect a similar growth rate next year? Is that what you’re saying?
Michael Bell: Greg we’d expect it modestly higher than that. We expect on a PMPM basis the operating expenses to be up, call it zero to 1% in 2008, excluding Great West. Now the PMPM’s big decline 2006 versus 2007, as you correctly noted, the other operating expenses from a dollar basis were up 2% but the [client] PMPM, we expect that in 08, particularly as we’ve been cognizant of the need to balance the productivity gains with the increased expenses on a market facing capabilities, particularly the technology expense, we would expect that to be a modest positive in terms of, meaning up in terms of operating expense PMPM. Now just to be clear, the outlook that we gave at the investor day for 2009 and 2010 is unchanged, meaning that we expect to capture $100-$150 million of annual pretax net productivity gains over that couple year period, again including the benefit of the drop off of the transformation expenses.
Greg Nersessian – Credit Suisse: Okay and then just two other quick ones, just any changes to the components, the individual components of the cost trend that you provided in the third quarter. And then also, if you could tell us what your part D MLR was for 2007 and what your expectation is for 08?
Michael Bell: Sure, I’ll start and I’ll ask Jon Rubin if he wants to add. First, no changes at this point in terms of the components of the medical cost trends that we had talked about in November. Medicare part D for full year 2007, the MLR was 100%, it was literally 99.9%. Now remember, the denominator excludes the fee revenue, so that’s just medical cost divided by premium. Jon do you have an outlook for 2008, I don’t have that number in my head. Ballpark? Give us one minute here Greg.
Jon Rubin: No, I don’t have that handy now but we can follow up with you after the call.
Greg Nersessian – Credit Suisse: Okay, great, thank you.
Operator: Thank you Mr. Nersessian, next we’ll go to Charles Boorady at Citi.
Charles Boorady – Citi: Thanks, good morning, first on the GMIB business, who is or are there reinsurers and what’s the risk that, what’s your counter party risk there?
Michael Bell: Charles, it’s Mike, as a matter of practice we don’t give out that kind of specificity in terms of the retros. Fair to say they are large companies, they have strong credit ratings. They’re not somebody at this point we have on any kind of credit watch list.
Charles Boorady – Citi: Okay great and I understand on that, sticking with the same topic, your point that the new FASB rules result in more volatility in EPS and since the street’s been using PE, it could really throw off our valuation and kind of how we think about your valuation. But this would still leave us with a missing piece from our valuation and I’m wondering how you think investors should look at the value of that piece of your business and whether there’s a way you can facilitate us looking at it by giving us more balance sheet items or spiking out the balance sheet so we could look at that, I assume on a price to book basis.
Michael Bell: Sure Charles, it’s Mike, the main reason that I think it makes sense to exclude the GMIB piece is that it is not, as I’ve talked about, it’s not the driver of how much capital we have to keep in CG Life and therefore not the driver of the subsidiary dividends that come out to the parent. As you and I’ve talked before, we expect over the long term approximately three-quarters of the GAAP earnings for the enterprise will show up as subsidiary dividends. Again I would suggest that the way to think about that three-quarter number is to think about that ex GMIB. So specifically in terms of how to think about GMIB, I can tell you that if there is a material change in our longer term assumptions or in how we view the longer term economics or even a materially change in how much capital that we need to keep in CG Life, we will communicate that in the quarter that it’s evident. At this point I don’t expect that to occur and therefore I think the better way at this point is not to try to build that in to longer term valuation models. But if that changes, again we’ll certainly give you an update.
Charles Boorady – Citi: So to be clear, by not building in you’re suggesting the value, we should think of the value as being zero?
Michael Bell: I think that’s fair Charles, again we have some capital in CG Life right supporting that block of business but I think kind of discounting that capital and discounting the overall book is not an unreasonable thing to do.
Charles Boorady – Citi: Got it and just on health, what percent of your at risk health enrollment that you expect in 08 was re-priced effective Jan 1 and how do you assess the risk that your MLR assumptions for 08 may be too low since the fourth quarter 07 results were at the low end of your range of expectations and you saw some negative current year prior period developments in 07.
Michael Bell: Charles, first to answer your factual question first, approximately half of the guaranteed cost block renews in the first quarter. But just to be clear, we do not see medical costs upticking at this point for full year 2008 versus what we had expected before. Yes we had some localized issues in the experienced rated block that was mainly just not continuing the favorability that we had seen in the first nine months. We had the single catastrophic claim that I described to Christine that ended up relating back to third quarter. But in terms of the fundamentals of medical cost trend, there’s no change in our outlook for 2008 and we’d continue to expect that to be consistent with the 2007 results.
Charles Boorady – Citi: [Unintelligible] weakening economy and the potential for higher unemployment, how does that factor into your disability expectations for 08?
Michael Bell: Charles at this point we have factored into our group insurance outlook the fact that number one we have increased the amount of resources that we allocated to the disability management offices. We’ve literally taken the debt loads down in those operations to focus with more capacity on disability management. So that impact in terms of higher operating expenses is built in. We’ve also strengthened the underwriting detail that we do on the book of business to look at trends by industry and by geography and certainly we view it as being important to be well positioned to possibly take pricing and underwriting actions if we’re seeing a deterioration in that area. At this point, we really remain confident in our group insurance results for full year 08 and I would expect that the softer economy would not be a barrier to achieving those results.
Charles Boorady – Citi: Thanks and congrats to your investment team.
Operator: Mr. Boorady, thank you for your questions, our last question today will come from Carl McDonald at Oppenheimer.
Carl McDonald – Oppenheimer: Great, thank you, in the description of Great West, what [inaudible] to drive unit cost, was that just a situation where you just don’t have that much overall [inaudible] so you won’t be able to drive an improvement in the Great West unit cost?
David Cordani: Carl, good morning it’s David, as we think about the Great West opportunity we talked about the ability to improve total medical cost as a key priority to do two things. One, to stabilize their book of business and to start growth within that book of business and two as an opportunity to expand margins and I’d remind you that their book is ASO with stop loss so to the extent you improve total medical cost, everybody benefits, the ASO customer benefits and then the shareholder benefits. As you know, our approach is a total medical cost management so it’s the coupling of good network execution, strong provider service and then strong clinical programs and that’s going to be our objective as we bring the two organizations together. So to repeat, we believe there’s a wonderful opportunity to improve total medical costs on behalf of their employer customers to provide benefit to them as well as benefit to the earnings and shareholder.
Carl McDonald – Oppenheimer: So can I take that to mean that you think more of the improvement in total medical cost is going to come from medical management as opposed to improving the underlying unit cost?
David Cordani: Carl, I would not split the two. In our approach and in our philosophy, the two are forever intertwined. So our contracting and network strategy and our clinical programs are interwoven so you need to vary your clinical programs and your medical management based upon how you see care contracts whether you have DRGs, case rates, per diems, et cetera, our focus on addressing the healthy at risk program, our focus on dealing with the chronic individual, so we specifically have not broken it out to suggest that a certain percentage of that total medical cost improvement comes from one or the other driver. More importantly, we’re very excited about the ability to improve the total cost proposition and thereby improve the growth rate and improve the margins.
Carl McDonald – Oppenheimer: Okay and just try to come back to the potential 08 accretion in a slightly different way, just trying to better understand some of the things that you’ve imbedded in the 09 earnings outlook, so that $135-$155, I’m assuming there’s probably some synergies for instance that are in there that you’re not going to realize in 08, so maybe you could just walk through some of the pieces there in terms of synergies and maybe the transaction costs that you’ve built into the 09 number relative to the $60-$75 million you talked about for 08.
Michael Bell: Sure Carl, it’s Mike, to go back to what we talked about in November. For full year 2009, we expect net of financing costs and transition costs that Great West will add $135-$175 million of after tax earnings. And let me break down the pieces for you and I’ll come back to your synergies question. We expect that the healthcare earnings themselves absent the financing and transition cost would be $200-$230 million after tax. We expect as a partial offset to that intangibles of $25 million after tax, debt of $20 million after tax and transition costs of $10-$20 million after tax. So if you deduct those items from the $200-$230, you get the $135-$175 million, which if you compare that kind of earnings contribution versus say repurchase, we would expect that to be accretive. In terms of the components then that would get us to the $200-$230 million of after tax earnings, I’d ask you to think about as a starting point the 2007 run rate. Now again Great West has not published yet full year 2007 results, but if you take the nine month year to date results and annualize them, you would get earnings of ballpark call it $175 million after tax on the book. And the main driver in terms of the synergies for 2009, as we had talked about on the November call, is that we expect the medical margins, specifically the margins from the stop loss business to contribute a little bit north of $50 million of after tax earnings. We would expect some but not a huge amount of operating expense synergies in 2009 and then at this point we have not built in much in terms of 2009 for specialty earnings. We would expect those to more emerge over time. Those are really the pieces that we’re thinking about in terms of 2009.
Carl McDonald – Oppenheimer: Alright and I think previously you’d said the transaction costs you’ll incur in 08, $60-$75 million, is that still a reasonable number?
Michael Bell: Yeah I think it’s a shade south of that, but that’s certainly a ballpark reasonable level.
Carl McDonald – Oppenheimer: Great, thank you.
Operator: Ladies and gentlemen this concludes Cigna’s fourth quarter 2007 results review. Cigna investor relations will be available to respond to additional questions shortly. A recording of this conference will be available for ten days following this call. You may access the recorded conference by dialing 888-203-1112 or 719-457-0820. The passcode for the replay 3744804. Thank you for participating, we will now disconnect.